Operator: Greetings, and welcome to the Quaker Houghton Third Quarter 2022 Earnings Conference Call. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to Jeffrey Schnell, Head of Investor Relations. Mr. Schnell, you may begin.
Jeffrey Schnell: Thank you, Paul. Good morning, everyone. Welcome to Quaker Houghton's third quarter 2022 earnings conference call. Joining us on the call today are Andy Tometich, our Chief Executive Officer and President; and Shane Hostetter, our Senior Vice President and Chief Financial Officer; and Robert Traub, our General Counsel. Our comments relate to the financial information released after the close of U.S. markets yesterday, November 3rd, 2022. Our press release and accompanying slides can be found on our investor website. Both the prepared commentary and discussion during this call may contain forward-looking statements reflecting the company's current view of future events and their potential effect on Quaker Houghton's operating and financial performance. These statements involve uncertainties and risks, which may cause actual results to differ. The company is under no obligation to provide subsequent updates to these forward-looking statements. This presentation also contains certain non-GAAP financial measures, and the company has provided reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures in the appendix of the presentation materials which are available on our website. For more information, please refer to our filings with the SEC. Now, it's my pleasure to hand the call over to Andy.
Andy Tometich: Thank you, Jeff, and good morning everyone. In the third quarter, we delivered double digit growth led by strong price realization. We continue to execute on items within our control, countering softer market conditions, continued supply chain and raw material challenges and significant foreign currency translation. We are making further progress addressing our overall margins by offsetting the significant and persistent inflationary pressures on our business. Throughout the quarter, the team remain focused on our objectives. This includes taking steps to optimize our business and control costs, while balancing investments to support and accelerate our long term growth initiatives. All, while we continue to prioritize delivering value for customers in a highly complex operating environment. As we expected, the end market environment was uneven in the third quarter. While we performed in line with our markets, we are not immune to the lower underlying market activity impacting our customers and in turn our volumes, specifically activity in Europe and China softened throughout the quarter. Whereas demand in the Americas and our global specialties business remain healthy leading to our record sales and earnings performance in those segments during the third quarter. Despite the complexities of the operating environment, we delivered $70 million of adjusted EBITDA and adjusted diluted earnings of $1.74 per share. In short, strong price driven sales growth and cost management more than offset continued raw material inflation in a softer market environment. The progress on our strategic pricing initiatives drove an improvement in our gross margins, which we expect to continue in the quarters to come. Pricing in the third quarter increased 25% year-over-year as a result of our ongoing value based pricing initiatives, but was partially offset by lower sales volumes and foreign exchange headwinds. We estimate underlying market growth rates declined by mid single digit percentages on both a year-over-year and sequential basis, which were in line with our underlying volumes, considering the impact from the Russia Ukraine war, and the expiration of the tolling agreement as part of the combination. Our results also included continued new business wins focused on higher value products and services, which were offset by business we declined as we focus on higher value opportunities. These new business wins continue to be a testament to the ability of our teams to demonstrate to our customers the value of our products and services, even as we implement our strategic pricing initiatives to offset inflation. Inflationary pressures on our costs did remain a challenge in the quarter. As expected, the pace of raw material inflation had declined sequentially in the third quarter, but overall continues to increase. Raw material availability also continues to impact our ability to win further business as we prioritize continuity of supply for all of our existing customers. Gross margins were approximately 33% in the third quarter, an increase of more than two percentage points compared to the second quarter of 2022. And a slight increase compared to the third quarter of 2021. This was primarily driven by continued price capture, as we implemented targeted actions to offset the impact of ongoing raw material inflation. EBITDA margins also increased, reflecting the improvement in our gross margins, and though they remain slightly below the prior year, they have increased more than two percentage points sequentially, as we effectively leverage our model and manage our costs. Moving to sales by segment, once again, price capture was strong across all of our segments, both on a year-over-year and sequential basis. Volumes increased compared to the prior year in our global specialties business, but declined in our regional segments. Sequentially, volumes also declined as increases in the Americas partially offset softer demand in EMEA and Asia Pacific. Unfavorable foreign currency translation intensified in the quarter and was a headwind in all of the segments but the Americas. Importantly, the recovery in our year-over-year segment margins continues. Margins in the Americas, Asia Pacific, and our global specialties business improved on a year-over-year and sequential basis, however, remain below pre pandemic levels due to continued inflationary pressures. That said, we expect the improvement trend to continue and pricing actions will be complemented by actions we are taking to drive efficiencies throughout the global organization. So while the macroeconomic environment remains challenging, we have confidence in the value proposition of Quaker Houghton, and the ability to leverage our scale and capabilities to generate value for customers. This will be reinforced with the targeted investments we are making to continue to drive long term performance above market growth rates by providing even more value added innovative solutions to our customers around the world. These value adding capabilities delivered through our customer intimate model will continue to be a key differentiator for us in the marketplace. All the while, recovering our margin profile to pre pandemic levels remains a top priority. It is anticipated that cost will remain elevated, both raw materials and other costs, including labor. Our commercial leaders are working diligently with our customers to implement further price actions, while balancing future growth potential and underlying market dynamics in these critical relationships. Additionally, we are pursuing various avenues for cost improvement globally, including footprint operations, headcount efficiencies, and other productivity measures. We will be balancing our decisions to ensure the macro economic pressures we face are addressed by the cost measures we pursue, while also considering our customer relationships and the requirements to achieve long term growth. Any actions taken will help address the efficiencies within the organization. And together with the investments to contemporize our business will help advance our capabilities, improve our profitability, and better align the enterprise to deliver on our long term strategic growth initiatives. To support our strategic growth, effective January 1st, we will align our organization under a more streamlined business structure and leadership team. Joe Berquist, who currently is our EVP, Chief Strategy officer and Managing Director of our Global Specialties Business will assume the role of Chief Commercial Officer. Our global commercial approach, implemented locally under Joe's leadership will facilitate additional revenue synergies through increased share of wallet while helping to streamline and standardize processes and through the use of tools, which will drive a higher level of intimacy for our customers. Additionally, Jeewat Bijlan, who is currently our SVP and Managing Director of the Americas segment will assume the role of Chief Strategy Officer. Jeewat will have ownership of implementing our strategic plan and will lead us to drive enterprise wide ownership and improvements Our updated global approach will unlock company wide opportunities to enhance our organic innovation and business development, improve global pricing and sourcing initiatives, advance the success of our corporate development, as well as drive us towards a more sustainable and digital enterprise. Joe and Jeewat are seasoned, committed and accountable leaders that have extensive experience across geographies, businesses, and with driving successful transformation. Their leadership will help us harness the energy in the organization to drive meaningful multi-year improvement in our globalization, digitization, and sustainability focus, which will all power our future growth. Working seamlessly together, we will fuel our growth engine with innovation and optimize more efficiency with productivity as we focus on our journey of continuously generating and earning more value for and from our customers. Turning to the outlook, we expect continued execution by our team in the fourth quarter and beyond. The demand environment which softened further in Europe and China during the third quarter, is expected to remain challenging and is further subject to typical seasonal patterns in the fourth quarter. The primary external factors, which will have an impact include higher energy and other input costs for our customers operations. Raw material availability challenges, the ongoing war in Ukraine, and China's zero COVID policy. Specific to the fourth quarter, our pricing initiatives are expected to continue to drive year-over-year organic top line growth, partially offset by slower end market demand, continued inflationary pressures and foreign exchange. We continue to expect a sequential improvement in our gross margins. And we will maintain our discipline cost controls as we did in the third quarter. As a result, we remain committed to our previously communicated outlook of generating EBITDA growth in the second half of 2022, compared to both the first half of 2022, as well as the second half of 2021. And we expect to generate positive cash flow in the fourth quarter. I am pleased with our execution in the third quarter, and I'm confident in our differentiated customer intimate approach that drives our growth engine. The outlook for the company is bright, and we're committed to delivering results. We exited the third quarter with momentum executing on those things within our control. Through the third quarter, we have driven meaningful net new business wins by increasing customer wallet share as we add new value and we also drive productivity enhancements for our customers. We have continued momentum with our pricing initiatives and are focused on reestablishing our pre COVID margin profile, while also balancing the valued relationships, growth opportunities and commitments to our customers. We will drive higher innovation and expand our capabilities, including through the use of data, particularly as we advanced our digital transformation. We are advancing our growth initiatives through sustainable solutions. As we capitalize on the opportunity to drive deeper relationships with our customers. We are leveraging our capabilities and strategy work to drive continued progress in our existing markets. We are identifying and expanding our total addressable markets and into new value added growth areas. While we also optimize our processes, productivity and footprint in order to better align the company for future profitable growth. We will continue to invest in our people, our culture, our expertise, and our diverse talent around the world, providing our team with the development and tools needed to drive meaningful results. And we will maintain a healthy balance sheet and liquidity to support our capital allocation strategy, including our M&A playbook. Taken together these growth and profitability enhancing actions combined with our differentiated customer intimate model is expected to support earnings growth in 2023 and beyond. We are balancing our near term priorities with our longer term opportunities. The value in our model is evident, especially when raw materials and other inflationary pressures eventually improve. But we will not wait. We are taking steps to better equip the business for whatever macroeconomic environment we face. Quaker Houghton has much opportunity ahead. And the company is demonstrating the resiliency of our business model and our people. I am confident we have the right strategy and our leadership is committed to unlock our team's potential to continue to deliver customer and long term shareholder value. With that, I'd like to pass the call to Shane to review our financial results in more detail. Shane?
Shane Hostetter: Thanks, Andy. And good morning, everyone. The third quarter was another strong quarter for the company delivering net sales of $492 million, which was a 10% increase compared to the prior year. This was driven by a 25% increase in pricing mix, which was partially offset by an 8% decline in total sales volumes and 7% unfavorable impact from foreign exchange. Consistent with recent quarters, we experienced a strong increase in net sales directly related to our strategic pricing initiatives. These were measured across all our businesses in response to the significant raw material increases that began last year and have continued into this year. We've maintained this pricing momentum, as we prioritize these new initiatives, and on a sequential basis, realizing pricing of another 8%. While their volumes declined 8% year-over-year, this includes a reduction due to the ongoing conflicts between Russia and Ukraine, as well as lower volumes related to previous totally on divested volumes as part of the combination. Without these two impacts, we estimate our volumes declined approximately 5%, which was largely aligned with our underlying markets, but with regional differences. New profitable business wins continue to be a focus for the company. In the quarter, we estimate that new business wins attribute approximately 3% to volumes compared to the prior year. This was a strong result [ph] and driven by the team's continued focus on driving higher value products and services to our customers, which in turn, increases their productivity and profitability. During the quarter, our value based pricing initiatives resulted in lower volumes, which did offset our new business wins on a volume basis. That said, we anticipated this outcome as we work with customers to offset the inflationary pressures that are currently impacting our business and our cost to serve. Further, we will continue to prioritize higher value products and service offerings as we work to regain our margins and focus the company on long term profitable growth opportunities. Sequentially, net sales were flat compared to the second quarter. This was driven by 8% sequential increase in price and product mix offset by lower volumes of approximately 5% and unfavorable foreign currency impact of 3%. Net new business wins of approximately 1% were similarly offset by our value based pricing actions compared to the prior quarter. On a sequential basis, our volumes were also broadly in line with our underlying markets, which softened during quarter. Our European business continues to be impacted by the direct and indirect impacts of the ongoing war in Ukraine, including its impact on energy costs. And also, our Asia Pacific operations were impacted by uneven questioner order patterns, the zero COVID restrictions and other impacts on our markets in the region. It is important to note however, that on a year to date basis, our volumes have outperformed our underlying markets, which are down mid single digit percentages due to the net new business wins, even when considering the impact of our value based pricing initiatives. This continues to highlight our ability to earn new profitable business. Despite our strategic pricing initiatives, as we continue to make progress, increasing our wallet share and driving increased value for customers when they need it most. Our gross margins in the third quarter were 32.7%, an improvement of 40 basis points compared to the prior period and 230 basis points compared to the second quarter. Overall, I am pleased to see our pricing initiatives begin to help drive an improvement in our gross margins. Our commercial teams have worked extremely hard to offset continue and significant inflationary pressures on our business. And also, we continue to expect our gross margins will show a sequential increase next quarter. Looking at our SG&A. We had an increase of approximately $8 million or 8% compared to the prior year. This largely reflects year-over-year inflationary pressures on net accounts [ph]. SG&A was down slightly sequentially, and as a percentage of sales remained consistent. Adjusted EBITDA was $70 million for third quarter, which is an increase of 6% compared to the prior year, and an increase of 20% compared to the second quarter. These increases were a result of improvements in gross margin, which offset the impact of lower volumes and assets, which was approximately a $3 million headwinds year over year. This is a solid result, despite the lower end market demand and the macro economic and geopolitical challenges we are facing. From a segment perspective, compared to the prior year and exclusive events, the Americas, EMEA and Global Specialty Businesses delivered double digit sales growth driven by significant increases in selling price and product mix. Our sales volumes declined in all sectors except the Global Specialty. And similar to last quarter, FX was a double digit headwind in our EMEA sector, due to the strength of the U.S. dollar compared to the Euro and verses Yen [ph], and was a lesser but meaningful impact on our other segments. Sequentially, all segments saw positive price momentum compared to the second quarter. Volumes declined 5% compared to the second quarter and increased volumes in the Americas for more than offset by softer conditions, uneven order patterns in EMEA and Asia Pacific as well as a 3% foreign currency headwinds, which is another record operating earnings in our Global Specialty Businesses and Americas segment. But EMEA was behind prior year due to continued gross margin pressures. Operating earnings in Asia Pacific were flat compared to the prior year as softer end markets were offset by stronger gross margins. Importantly, though, our segment operating margins improved in all segments except EMEA on a year to year basis and sequential basis, which gives us confidence that we are on the right path to recovering our margins globally. Below the line, both interest expense and other expense were slightly higher sequentially and against prior year. Interest costs continue to increase during the quarter, largely due to higher borrowing costs, with our cost of debt at approximately 3.4% for the third quarter. From a tax perspective, our effective tax rate excluding non recurring and non core items was largely consistent at approximately 26% in the current period. We continue to expect this current year's effective tax rate to remain roughly in line with 2021 levels, pending any changes to domestic or foreign legislation. Our GAAP diluted earnings per share were $1.44 and our non-GAAP diluted earnings per share were $1 74, which were up 7% compared to $1.63 in the prior year, reflecting the improvement in our overall operating earnings. Switching to liquidity. Our cash flow from operations was an outflow of approximately $18 million for the quarter or $26 million year to date. Our working capital continues to be impacted by higher accounts receivables due to our pricing initiatives, and higher inventories due to raw material costs increase. We are taking steps to improve and optimize our cash flow conversion and our working capital efficiency. We expect to show a working capital improvement translating into positive operating cash flow in the fourth quarter. Additionally, we expect our free cash flow conversion to normalize next year. Outside of operating liquidity, we invested $5 million in capital expenditures in quarter for approximately $20 million year to date. This translates to approximately 1.4% of our net sales, and is expected to remain at the low end of our prior guidance of 1.5% to 2.5% of sales for 2022 as we invest in certain profitability and productivity improved. Also, we paid approximately $7 million in dividends in the third quarter. Having increased our dividends to the 13th consecutive year in 2022. Our net debt at the end of the third quarter was $815 million, and our net leverage ratio was 3.3 times adjusted EBIT. This was higher than our expectations due to the timing of cash flow generation. However, our liquidity remains sound. On a bank basis, we are at 3.1 times adjusted EBITDA, which provides us ample room compared to our ceiling of four times net leverage on our credit facility. We also have no material maturities until June of 2027. We remain committed to reducing our net leverage towards our target of 2.5 times and we will continue to balance the other priorities in our capital allocation stretch. To summarize, as we look ahead, the macroeconomic and geopolitical environment remains highly uncertain and very difficult to predict. But we will continue to execute on what we can control. Specifically, we expect continued momentum with our pricing initiatives, which are intended to exceed further expected increases in our raw material costs. We expect to continue to demonstrate progress on our margins in the fourth quarter, providing a solid foundation as we enter into 2023. This momentum gives us confidence in our ability to deliver on our 2022 commitment of EBITDA growth in the second half of 2022 compare it to both the second half of 2021 and the first half of 2022, as well as delivering earnings growth in 2023 and beyond. I remain optimistic on the growth and cash flow generation potential of our business and the steps we are taking to improve the foundation and future of our company, which will position us to provide the best products and services to our customers and deliver long term value for our shareholders. With that, I'll turn it back over to Andy.
Andy Tometich: Thank you, Shane. Before we address your questions, I want to once again thank our team who has executed well this year and has stayed focused on our objectives. Their commitment to our customers and our company reinforces our core values, and underscores our ability to prepare for and execute in any environment we may face. With that, we'd be happy to address your questions.
Operator: Thank you. We will now be conducting a question and answer session. [Operator Instructions] Thank you. Our first question is from Mike Harrison with Seaport Research Partners. Please proceed with your question.
Mike Harrison: Hi, good morning, and congratulations on a nice quarter in the challenging environment.
Andy Tometich: Mike, thanks,
Mike Harrison: Andy, I was wondering if you could talk a little bit about the Americas business and the nice sequential improvement you saw in the margins there. Just curious if there were any one time drivers that helped the margin performance? Or if you feel like that getting toward that mid 20s level or just sustainable margin level?
Andy Tometich: Yes. Thanks, Mike. First of all, thanks for recognizing that. The leadership teams really have been doing a great job as we move through the year. It's not a single factor, they're working on improving the mix, deepening customer relationships and the value we add in various solutions. There have been new product introductions, as well as taking advantage of sober [ph] innovation. So it's a myriad of things. And again, we want to build on that, additionally, within Europe and take a cue from that in some of our other segments as well.
Mike Harrison: And then, looking over at Asia Pacific, I was a little bit surprised to see the volumes, they're down 20%. Definitely worse than last quarter when we were expecting lockdowns to have the most severe impact. And we had also heard that auto production in Asia was improving. So maybe just a little more color on what's going on there? And what your expectations might be for volumes in Asia Pacific as we get into Q4?
Andy Tometich: Again, thanks, thanks for that, Mike. I mean, as we've signaled for multiple quarters now there's an unevenness in China that we're still experiencing. There are still direct, as well as indirect impacts with the zero COVID policy and the lock downs that have come as a result of that. Within our business as well, there's also variation in customer order patterns that plays into it. I might also highlight that, like we're doing in all regions, we're using strategic pricing, testing elasticity. And the net result of that is the profitability and the -- of the mix of business we have is very healthy and has improved. We're expecting some of the unevenness to continue, there does not appear to be a movement away from the lockdown policies. And then the fourth quarter as well, we typically have some seasonality. But beyond that, I think we feel like we're well positioned and what we've been doing with the business there and will be in great shape as the recovery does come.
Shane Hostetter: Yes. Mike, just add on to that. You mentioned some of the indicators were at auto and some of the KPIs. We estimate our markets were down high single digits. Honestly, we just did not see. What we see the auto indicators there. And I think it's been publicized in the market. We're seeing a little bit more weakness compared to what the auto indicators see.
Mike Harrison: Interesting. Okay. Thanks for the color there. And then my last question for now is just on the Q4 outlook, in terms of revenue and margin, I guess any further detail you can provide there? The math that I did, suggest that you're seeing kind of like the $57 million EBITDA level as kind of a floor for Q4. But I'm looking at where consensus numbers are. And it looks like they're kind of smack between the $60 million you did last year and the $70 million that you just did in this quarter and was wondering if you could comment on how you feel about where that consensus number is for Q4? Thank you.
Andy Tometich: Mike, let me start and kick it off. And then I'll ask Shane to add some color. But I mean, first of all, just a reminder, we continue to execute on the things we can control. And there's still significant macro challenges and the uneven demand as well as some of the seasonality that I mentioned. Sequentially, we are continuing to work on value based pricing, as we continue our paths for margin recovery as we move forward. We're also working very hard on new business wins and continuing that as we've done all year. And that will help us as we move forward, as well as we look to control our costs to make sure that we're as efficient as possible. With that, Shane, maybe you want add a little additional color.
Shane Hostetter: Yes. Thanks. Well, it impacted a little bit, like I'm not going to get into specific numbers. But as Andy just talked about, the overall environments pretty uncertain. As you think about the percent decline we had on a rolling from Q2 to Q3, we see that continuing. However, we do see some additional, probably volume declines due to seasonality in Q4, normal seasonality that we impact. Another headwind we'll see is the strong U.S. dollar from an investor perspective. But on the bright side, like Andy talked about, we will continue to operate with what we control. I indicated in my script we will price above where our raw material costs are going again, and we indicated that will show another uptick in gross margin percentage in the fourth quarter compared to the third quarter. And then, this should drive higher EBITDA expansion as well. And then from there, free cash flow should be positive in the fourth quarter, as we unlock working capital and work on some of those efficiencies, as well as improving in our cash version.
Mike Harrison: All right. Thanks very much.
Andy Tometich: Yes. Mike, apologies. One clarification, as I said, I just want to emphasize, its EBITDA margin not EBITDA.
Mike Harrison: Right. Understood.
Andy Tometich: Thanks.
Operator: Thank you. Our next question is from David Begleiter with Deutsche Bank. Please proceed with your question.
Unidentified Analyst: Hi. This [Indiscernible] for Dave. I guess first, did you seen destocking impact in Q3? And if so, do you expect that to be down by year end?
Andy Tometich: Yes. Thanks for the question. We haven't seen any significant trends with respect to destocking. So, no signals for us to suggest that that's going to be changing.
Unidentified Analyst: Okay. And then just on raw, it looks like it's still going up in Q4. What's your current lag versus raw material price increases? And I guess, when do you expect any relief on raws [ph]?
Andy Tometich: Yes. So first of all, just a reminder for everybody. We've seen raw material cost inflation, about 55% since the beginning of 2021. And we have continued on our pricing journey on that recovery of margins to pre COVID levels, and we're continuing there. Overall, raw materials, as we indicated in our script, have slowed in their rate of increase, but are still increasing. And really, it's the basket of raw materials that depending upon region, and category, have slightly different trends, but in total are up, in particular, some of our additives and our enabling chemistry surfactants acids bases are still continuing to inflate. So, we're expecting that trend to continue, but again, at a decelerated rate. I'd also like to emphasize that regardless of what raw materials are doing, we are implementing our value based pricing and recovering value over and above what maybe happened on inflationary basis. And we'll continue that journey.
Unidentified Analyst: And I guess, lastly, are you seeing any incremental volume loss as the employment move presses?
Andy Tometich: Yes. Well, I'd like to highlight that the one of the key strategies for us is to continue to have profitable new business wins for us. And we talked over the long period of time that we expect it to grow over and above our underlying markets. And at the same time, right now, we're also doing some strategic pricing to test elasticity in order to recover our margins. And then the third quarter, we really did both, we had about 3% in new business wins. But that was offset as we implemented the strategic pricing on a volume basis with reduction on choices of where we wanted to serve business. The net result however, is our portfolio is much healthier margins are up. So while we anticipate there could still be some volume, decline, that will be focused on lower value business that will be replacing with higher value business, we continue to balance that as we manage things and the focus of the organization remains on profitable growth, as well as margin recovery.
Unidentified Analyst: Thank you.
Operator: Thank you. Our next question is from Laurence Alexander with Jefferies. Please proceed with your question.
Q - Dan Rizzo: Hi, everyone. It's Dan Rizzo on Laurence. Thank you for taking my questions. If we think about -- or I should say, if current conditions persist in terms of cost cutting raw materials and pricing, what would the initial setup look for -- look like in 2023?
Andy Tometich: Dan, thanks for the question. Good morning. So it's premature for us to give guidance at this stage. We haven't finished 2022 yet. And as you imagine we're in budgeting season and so forth. And as I've highlighted before, we're really focused on executing on the things we can control, and that includes focusing on value adding for our customers and earning more wallet share from them. Long term trends in our markets, we think are still positive despite some of the short term challenges that could carry over. But our strategy is to remain customer intimate to execute our model and outperform the underlying markets, regardless of what they do. We'll be balancing our pricing as well as margin recovery and efficiencies on costs. And we expect earnings growth in 2023.
Q - Dan Rizzo: So can you answer maybe how we should think about CapEx and working capital for next year? Or is it too early for that as well?
Andy Tometich: Maybe I'll kick off with CapEx and then I have Shane to talk a little bit more about working capital. But first of all, our capital allocation strategy remains intact, no change there. And that clearly includes CapEx in particular to support our organic growth, our innovation and continuing to be more customer intimate and do that in an efficient way. And at the same time, we're going to be prudent, on our spending. And as Shane indicated, we'll maintain within the levels that we've been previously, but maybe you want to highlight a little bit there and then working capital.
Shane Hostetter: Yes. So Dan, we had talked about this before. And going into this year, we said the next couple of years, we'd be within the range of 1.5% to 2.5% of CapEx compared to net sales. This year, we're at about 1.4%. Next year going into there, we think we'll probably be in the mid range in the twos. However, as Andy just talked about, we will be flexible and prudent, depending upon where the economy goes and spending associated with that. As we look about working capital, I indicated in my script, that A, we're going to be working on improving conversion, as well as working capital efficiency. Specifically, we did take on a little bit of more safety staff to make sure that we can serve our customers, on time during COVID. We're working on reducing that to realize levels. And as I looked ahead to next year, we will come back to a normalized cash conversion, in a normal period without those raw material cost types, I would love to unlock a significant amount of working capital next year.
Q - Dan Rizzo: Okay, thanks. And then last question. So it just a little clarification, so if you look at like your end markets like auto and steel, are the volumes declines in line with what we're hearing from OEMs? And what's happening, or have you been sheltered by new product launches and legs?
Andy Tometich: Yes. I would say as I think about the fourth quarter, right, you kind of look at the bridge here. We were down roughly 8% in volumes with fourth quarter. Within that, we were down from a perspective year over year, right, we were down 8% volumes. And then within that we had 3% volume declined due to Russia and Ukraine, as well as the total investing of -- or the total for the previously domestic products. Without that we get down to around 5% decline. And that shows neutral share gains and then offset by the strategic personal losses. So that 5% we think is in line with where we believe our markets were which is low down mid single digits. That is a blend of obviously our auto, steel as well as overall industrial markets.
Q - Dan Rizzo: Thank you very much.
Operator: Thank you. Our next question is from Jon Tanwanteng with CJS Securities. Please proceed with your question.
Stefanos Crist: Good morning. This is Stefanos Crist for John. Thanks for taking our questions. Good morning. Could you talk about the what's driving the strength in the U.S.? And do you think that's sustainable?
Andy Tometich: Yes. I think we've seen progress really across the board. The under underlying markets, we're continuing to perform over and above those, some of the things I referenced a little bit earlier about some of the innovations and mix that we've continued to improve as we move forward. And really just deepening our relationships with customers, providing more solutions, participating in a greater percentage of their wallet. So, I think some of the macro challenges that exist in China and Europe, for example, are not as acute in the U.S. And on top of that, we're executing extremely well on our strategy.
Stefanos Crist: Great, thanks. And then can you talk about your confidence level and continuing to push price as your end markets do come under pressure? And do you think you can get back to historic gross margin levels just on price?
Andy Tometich: Yes. I think it's a it's really a question of timing. We continue to be very successful with our customers. I don't want to minimize the challenges and discussions with customers, no one's excited about having a price increase. And as we've talked about previously, there's a lag in our business model because of our focus on value and the value that we're providing to our customers. But I think the results show even with our strategic pricing that's relatively under control. And allowing us to maintain volumes and improve the health of our portfolio in our margins is an indicator that our value is pretty sticky, and will continue to balance our approach as we go forward.
Stefanos Crist: Great. Thank you so much.
Operator: Thank you. Our next question is from David Silva with CLK. Please proceed with your question.
David Silva: Yes. Hi, good morning. I had a question, I guess about your new business wins, and maybe your philosophy of selecting which areas you wish to target. So my impression is that you bring an awful lot -- a very broad array of products and services that customers can choose to upgrade or mix and match when they consider signing on with you. And I was just wondering, with the current -- if you look back to the current quarter, maybe a quarter or two ago, is there a trend in which parts of your value proposition tend to be more successful or more convincing in securing new business? In other words, is it offering labor savings? So they can outsource? Is it supply chain reliability? Is it ESG compliance, amongst your array of benefits that you offer? Could you point to any trend in which of those attributes are most attractive to new clients? Thanks.
Andy Tometich: Thanks for the question, David. I mean, I think one of the inherent characteristics of a customer intimate model is we serve the customer based upon what problems they have and how we can add solutions for them. So, it's any number of things, including most if not more than you suggested there. Where we tend to add new business and greater share of wallet is where we build up an overall value in the number of solutions that we can provide to customers and our ability to adjust as they need us to adjust. So it's not related to necessarily a specific product, and really more about the relationship with the customer and deploying the full capabilities, which of course, got much more significant with the combination two years ago, to a greater portion of our customer base.
Shane Hostetter: Yes. Just add on with that, David. You started the conversation with choice around the share losses in the pricing side and how we get to the end product. It's not so much a product level, it's really our cost to serve, right. So we look at things from a return metric, we pride ourselves on the EDA basis, economic value add. So looking at each individual transaction, both on a customer level and product level to ensure the appropriate return. So it's not necessarily just a product decision, it is a profitability decision too.
David Silva: Okay. Thanks for that. And then maybe just a question about the near term outlook, and in particular, in Europe, excuse me. But from a number of my industrial companies that are reported, today, I'm getting kind of somewhat mixed signals about how the major European customers are, let's say, coming back or coming back online, let's say following the traditional downtime for vacations in August, maybe early September. But from your more strategic customers, is it your opinion that they can continue to kind of operate or restore mostly normal operations? Or would you say the tone is a little more negative than that, and there may be hunkering down for a more difficult stretch. And so just a sense of how your major customers in Europe are thinking about the next few months or three to six months? Thank you.
Andy Tometich: Thanks, David. First of all, Europe is a region for us, and for sure, we know we're a bit behind on the price cost balance, and we've done work and we will continue to improve in that space. Price was actually up relatively significantly in the third quarter, but offset by some of the foreign currency translation, in fact, more than offset. And we all know about the direct impacts of the Russia/Ukraine situation, but then the indirect impacts of energy, in particular in steel and automotive are continuing, and I saw yesterday ArcelorMittal just made a decision to take some of their capacity offline, at least temporarily. So I think those pressures are going to continue. At the same time, we're staying focused on our pricing initiatives, as well as controlling costs and looking for opportunities in that space. We believe with no new significant issues that we will reach an inflection point on margins in the fourth quarter, but Shane if you want to add to that.
Shane Hostetter: Yes. Only to add Andy, as you mentioned an inflection point outside of anything extreme, we do see our margins, our responsibility margins going up in the fourth quarter than in the third, Europe. And that really reflects operating around things that we can control. Andy, talked about our pricing initiatives in Europe. You know, it's important to look for the third quarter, our organic top line growth was actually positive as our pricing offset our volumes, but the FX was pretty sharp.
David Silva: Okay. Thank you for that. I appreciate the color.
Shane Hostetter: You're welcome.
Operator: Thank you. Our next question is from Mike Harrison with Seaport Research Partners. Please proceed with your question.
Mike Harrison: Just a couple more for me. First of all, you mentioned that, you're still seeing some limited raw material availability. You said that it was impacting your ability to win new customers. But it sounds like you still are winning some new customers with the 3% number that you threw out there. So maybe help us understand, what your sales efforts look like relative to normal? How much more new business could you be winning, if you had the raw materials that you needed? And I guess, do you expect the availability issues to get better? Maybe not next quarter, but as you look out into 2023?
Andy Tometich: Thanks, Mike. I would say that, the supply chain issues have certainly decreased compared to the acute period we experienced in previous quarters. But I think we're trying to highlight that they're not gone. There are still spot issues in specific geographies or with specific products. For the most part, we're managing our way through that, and we talked about our normal target is to be outperforming our underlying markets 2% to 4%. We grew new business by about 3% in the third quarter. I think it would be safe to assume we would have been at the higher end of that range. Had we not had some of the supply chain issues, but I don't want to characterize it as material.
Mike Harrison: And do you expect a little bit of further improvement in supply chain issues going forward?
Andy Tometich: We certainly hope so. And I think we've seen cases in particular bundles of raw materials. Again, it depends upon region. But we've seen some areas where some of the mineral oil materials and some of the base oils from vegetable and animal derivative standpoint have started to stabilize. So I think we're seeing signals, at least anecdotally, that things will continue to improve.
Mike Harrison: All right, thank you. And then, I was also hoping that maybe you could give a little bit more color on the reorganization that you referred to moving Joe and Jeewat into global roles. Are there still going to be individual business unit leaders? Or is this part of a greater shift away from your regional structure toward more of a global or like a matrix structure?
Andy Tometich: Yes. Mike, first of all, I mean, I always like to go back to the fact, we have not changed our customer intimate strategy. And that's really in service of this. But it's one of the one of the activities that we feel is important and contemporized, that customer intimacy and serving our customers exactly the way that they want to be served and do that in the most efficient way for the value that's available and that makes sense. And so, taking advantage of our scale, we think this is an opportunity to deploy more of our capabilities in more places with more customers get more of that wallet share, as we're able to cross sell and get into other applications with technologies and so forth. At the same time, we'll be doing some targeted investments to be able to support this that's going to allow us to be even more efficient from a process standpoint, digital capabilities, we have some productivity enablers, as well as footprint leverage that we'll be taking a look at here. So, with respect to the comments that I made in the script, while Joe will be leading the commercial organization globally, we will still clearly be implementing regionally and locally.0
Mike Harrison: Alright. Thanks very much.
Andy Tometich: You're welcome. Thanks.
Operator: Thank you. Our next question is from Arun Viswanathan with RBC. Please proceed with your question.
Arun Viswanathan: Great, thanks. Good morning. Thanks for taking my questions. So a couple questions. Just thinking about Q4 and some of the dynamics there. So, do you expect double digit price increases to continue in Q4. When do those start to lap kind of tougher comps? Is it say Q2, Q3 of next year? And then similarly, if I just look at the volume side, I think you said that you were down 8%, but maybe 5% if you normalize some of the things out. So do we expect kind of mid single digit volume declines for the next couple of quarters? Maybe you can just help us with price and volume a little bit? Thanks.
Andy Tometich: Sure. Thanks for the questions. So I'll discuss price first. Looking at it sequentially, you're asking year on year, I think it's easier to explain sequentially, given some of what we talked about with our underlying raw material costs, as well as on price and gross margin increase. We indicated that our raw material costs are still going up. But at a decelerated pace, they went up roughly 4%, from Q2 to Q3. So something less than that, we will price above that, I'll be most likely a little less than what we saw, from Q2 to Q3 to continue to gain gross margins. From a volume perspective, I had indicated in one of the conference or one of the questions earlier, but Q4 for us, we tend to see seasonality in that 4%, range-ish. So we're going to see continued volume softness that we saw from Q2 to Q3, which was roughly in the 5% range, plus that seasonality. So, you're looking at, at least high single digit volume declines. And as you think about unpacking the overall kind of performance there, I think I indicated before, we are going to continue to just operate where we can control, right, and the underlying markets are there or continue to try to gain share to offset that pricing less just the volume, as well as grow our gross margin percentages.
Arun Viswanathan: Great, thanks. And on that last point, then so, I know that maybe on an EBITDA margin basis, the target is to get back to say 17% or 18%, that you saw in Q1 of 2021 before all the inflation. So what's kind of the path and trajectory that we should keep in mind? Are there any specific initiatives on the cost reduction side? Or is it mainly going to take just some moderation, inflation and the pricing to kick in? And maybe some relief on the FX side? Or how should we think about the path back to those margin levels? Thanks.
Andy Tometich: So I think we'll start with the point that we're on a journey here, and we've talked about margin recovery being a journey that was going to take us some time. I think this specific answer your question depends a little bit on what happens with the inflationary environment. Of course, if raw materials and other inflationary factors start to recede, that will help us to get back to our targeted levels more quickly. I think it's unclear for us to be able to predict exactly when that's going to happen. Presently, in addition to recovering margins and capturing value to price, we're also continuing to control our costs, and look for opportunities to be as efficient as possible in delivering our model. So we'll continue that focus going forward.
Arun Viswanathan: Great. Thanks a lot.
Andy Tometich: Thank you.
Operator: Thank you. There are no further questions at this time. I'd like to turn the call back over to Andy Tometich for any closing comments.
Andy Tometich: Yes. Thank you for that. Really, I want to leave every with the future of Quaker Houghton is bright, and we are executing on our priorities and we are committed to generating value for all of our stakeholders. I want to thank you for your continued interest in Quaker Houghton and encourage you to please reach out to Jeff with any follow up questions.
Operator: This concludes today's conference in May disconnect your lines at this time. Thank you for your participation.